Operator: Good afternoon and welcome to the 4Front Ventures Fourth Quarter and Full Year 2023 Earnings Conference Call. Today's call is being recorded. At this time, all lines have been placed on mute to prevent any background noise. After the prepared remarks, there will be a question-and-answer session. As a reminder, during the course of this conference call, 4Front's management may make forward-looking statements that are based on current expectations and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These results are outlined in the Risk Factors section of the company's filings and disclosure materials. Any forward-looking statements should be considered in light of these factors. Please note that the Safe Harbor, any outlook presented speaks as of today, and 4Front management does not undertake any obligation to revise any forward-looking statements in the future. Also please note on today's call we will refer to certain non-GAAP financial measures such as EBITDA and adjusted EBITDA. These measures do not have any standardized meaning prescribed by GAAP and may not be comparable to similar measures presented by other companies. 4Front Ventures considers certain non-GAAP measures to be meaningful indicators of the performance of its business, in addition to, but not as a substitute for our GAAP results. A reconciliation of such non-GAAP financial measures to their nearest comparable GAAP measure is included in our press release issued earlier today. I'll now turn the call over to Andrew Thut, Chief Executive Officer of 4Front Ventures. Please go ahead.
Andrew Thut: Thank you, operator, and thanks everyone for joining us. On the call today I'm joined by our Consultant President Karl Chowscano; CFO Peter Kampian; President of Corporate Development, Ray Landgraf; and EVP of Operations, Brandon Mills. I'll begin today with an overview of our Q4 and full year highlights, and Brandon will follow with an overview of each state's market trends and performance. Next, Peter will detail our financials and we'll conclude with a Q&A with our management team. As the new CEO of 4Front Ventures, I'm thrilled to take the helm at such a pivotal juncture for our company. With a long awaited opening of our new cultivation and production center in Matteson, Illinois now upon us, we have a focused growth strategy with retail and wholesale expansion in Illinois as the centerpiece. This growth will be buttressed by a continued firming in Massachusetts and with the steady improvements we have seen in our business over the first three months of this year and into April, I'm very confident with what's in store for growth this year. Last year saw notable advancement with our wholesale revenue increasing year-over-year by an impressive 75% in Illinois and 42% in Massachusetts, underscoring our ability to leverage our CPG strategies developed in mature markets to solidify our position in emerging ones. In Washington, there was a resurgence of market strength, with a near doubling of flower revenue from Q1 to Q4. Additionally, we successfully eliminated cash burn in California and strategically deferred a large portion of our debt obligations. In the first quarter of 2024, we converted $23 million of senior secured debt into common equity. This action represents a significant milestone within our broader strategy, and we continue to have ongoing, constructive discussions to further fortify our balance sheet. Despite these achievements, there's no denying that 2023 was a challenging year for 4Front. We had to navigate a disappointing withdrawal from the California market, fall through delays in getting power to our new Illinois facility in Matteson, and a dip in retail sales as we turned the dials on cost cutting and balanced that with giving our customers the product selection and customer experience they have grown accustomed to. We navigated through those challenges by taking decisive actions to overhaul our business, focusing on areas with the highest potential for future growth, and redoubling our efforts on product quality, innovation and delighting our customers. This involves a strategic reset during which we installed Presidents for each state team to streamline decision making and accountability and shed assets that hindered progress. This realignment is already paying dividends as our business has shown steady improvement as we move through a pivotal 2024 and into a significant growth phase as the Matteson facility and additional retail comes online. Our approach, while necessary, was far from painless. Between the second and fourth quarters, we focused on making our operations more efficient, optimizing our marketing and product development departments, and discontinuing unprofitable brand segments and products. These actions were aimed at enhancing our operational efficiency and laying a foundation for focused innovation and growth. Moreover, we made the decision to withdraw from markets where our present was not sustainable given current market conditions. Notably, this included exiting the California market, a state that we still believe holds immense potential, but is in the midst of experience a reset of its own. Similarly, divesting our single retail operation in Michigan was another tough but necessary decision to optimize our business. I've been deeply involved with all initiatives to identify and remedy inefficiencies, and that proactive approach, rooted in the insights from our teams on the ground, has already yielded significant results across our facilities. We faced our fair share of challenges, such as the underutilization of our substantial investment in our Matteson facility, but I'm proud to say that these obstacles are now behind us. We're rapidly advancing towards full operational capacity, positioning this asset and our retail expansion is a cornerstone of our forward growth. As we look towards the second half of 2024, our strategy is clear, to redeploy our resources towards areas of innovation and market expansion, guided by the lessons learned from this period of recalibration with a clear line of sight to doubling the revenue base of this business. This process of renewal, though not without short-term consequences, is a testament to our resilience and commitment to long-term success, ensuring that we move forward unburdened by the past and fully focused on seizing future opportunities. I want to shine a spotlight on our Illinois operations, specifically our progress at the Matteson facility. This site has become a linchpin in our strategy, with a focus on the efficiency of our execution and the concrete milestones we have set for ourselves amid external regulatory and utility challenges that were beyond our control. In terms of our growth strategy, we have a detailed roadmap with clear benchmarks. We anticipate bringing plants into our Matteson facility in the first week of May, marking a significant step in our cultivation plans. Following this, we are planning for our rooms to come online sequentially, with two additional rooms coming online every week. To give you a sense of scale, our current 9000 square feet grow combined with our retail operations is already generating an average of over $3 million in revenue each month and that's just the beginning. By this summer, we will have expanded our canopy to over 40,000 square feet, effectively four to five times our current production capacity, and expanded our manufacturing footprint by over 34,000 square feet.
Holliston: With our lab expected to come online in May, we're also exploring opportunities to initiate toll processing sooner than anticipated. This would not only serve our needs, but also present a chance to offer these services to others, maximizing the utility of our facility right out of the gate and addressing an overall shortfall of toll processing services and high quality bulk derivative products in the market. The current market dynamics, where the demand for toll processing and high quality bulk derivative products far exceeds the available supply mirrors the landscape we've observed for B2B wholesale flower. This scarcity presents us with substantial opportunity to leverage our Matteson facility, setting the groundwork for a robust wholesale marketplace. The primary benefit of having our lab operational is threefold. First and foremost, it eliminates the need to pay high fees for toll processing as we will manage all of our material in-house, ensuring our supply chain for derivative products and innovation remains under our control. Secondly negates the reliance on third parties for these processes, optimizing both cost and time. Lastly, we will be able to launch edibles in the market, small but creatively significant category for 4Front and a large part of our origin and DNA. We are on the brink of witnessing a significant increase in top line revenue with ample opportunity for further expansion as we boost our retail footprint. We initiated our retail expansion strategy in Illinois in the previous quarter, setting the stage for the opening of our Norridge location in the next three weeks, followed by the Elston/Logan location in Q4. Furthermore, as we advance the selection and development of our additional retail locations, we've strategically targeted markets within Illinois with limited local licensing caps. This approach allows us to look beyond Chicago, identifying opportunities to match our careful market analysis for the best economic impact. Our nuanced approach aims to drive our expansion towards the state's maximum of 10 locations through both organic openings and strategic acquisitions of high performing retail sites as capital resources permit. Each new location is projected to boost monthly revenue by $850,000 to $1.2 million, promising strong returns and rapid payback period, thanks to vertical integration. Concurrently, we're addressing wholesale channel constraints to meet rising demand. The activation of our Matteson facility is expected to catalyze wholesale growth, supporting a steady increase in revenue. This careful expansion aligns with our commitment to strategic retail development and wholesale channel enhancements across Illinois. We are thrilled about the future of Illinois and its role in our growth story. I'd also like to take a moment to highlight the dynamic advancements within our cultivation strategy, particularly our adaptive phenotype hunting initiated in mid-2023. This innovative approach has led to a more diverse and rapidly changing variety of strains offered in our stores, reflecting market trends and direct feedback from our staff and customers. Informed by comprehensive data on strain performance, our selections are now more aligned with consumer preferences, optimizing our canopy space use. In the ever evolving landscape of the cannabis market, our commitment to innovation and customer satisfaction has driven us to strengthen our focus on product development and market engagement. Our observations in Massachusetts and Illinois revealed an opportunity for brand alignment and customer engagement. Many of our consumers were unaware that the high quality flower they enjoyed was cultivated by us, prompting the strategic branding of our flower under Mission Cannabis. This initiative, launched in the first quarter of 2024, has fostered a stronger connection between our retail environments and the premium flower we produce, enhancing customer trust and loyalty through positive brand association. We broadened our reach into the consumer experience with the introduction of Legends Tasters in Illinois and Island Tasters in Massachusetts, offering customers a curated taste of our strain excellence right at the point of sale. Following this success, we introduced Mission Tasters in both states, delighting customers, and solidified our dedication to our diverse and quality-driven selection. In Massachusetts, the launch of the Hunt, a brand that celebrates the craft of pheno-hunting, garnered an exceptional response, particularly through the use of QR codes on packaging that encouraged customer feedback and participation. This success has led us to bring the Hunt to Illinois in early 2024, and we remain dedicated to keeping those popular selections a staple of our menus. Notably, we've implemented a cultivar report card system establishing rigorous metrics that include yield, THC, and terpene content and cost efficiency to ensure only the most promising cultivars are produced. By diversifying our crop rooms, we've enriched our menu variety, and with new dry and cure techniques and the shift to rockwool media, we've significantly improved harvest frequency and the quality control. After initial challenges in Q1 of 2023, we're proud to report a substantial increase in our pass rates for biomass, reaching 96% from April through December 2023, all while adhering to stringent quality standards. Our recent investments in water activity monitoring has significantly improved terpene preservation, enhancing the aroma and flavor profiles of our strains and moving away from the generic factory taste. Notably, the banana pea cultivar archived a record 37% THC level, the highest in our history, and exceptional in lab tests. Our product line now boasts an average THC level of 25%, with several cultivars exceeding 30 and an overall average cannabinoid content of nearly 31%. We also remain steadfast in our commitment to research and development in the rapidly expanding vape segment, which continues to demonstrate significant growth and swift innovation in hardware. Our ongoing R&D endeavors ensure we stay at the cutting edge of this dynamic market.
Crystal Clear: 2024 is the year where we get back to what got us here, a year of action and correction, a time to rectify past oversights and amplify our strengths. The strides we've made in refining our operations are already self-evident. Notably, our flower is as good as it's ever been. We have created a more robust variety of strains, and we have innovated and expanded our product lines. Noteworthy advancements include improved vape technology, including the unique Blast button introduced on Crystal Clear disposables, and a fun and small devices for the Marmas Bar. We're also adding more minor cannabinoids, more variety in pre-rolls, and we're soon going to be introducing liquid diamonds into the Marmas Bar vapes, Terp Stix, and Infused 1988 blunts. These improvements clearly demonstrate our team's skill and commitment to unlocking the full potential of this resilient business and the progress we're making is truly a tribute to the unwavering spirit, resolve and passion of our 4Front team. Before I hand it over, I did want to touch on my new role as CEO, the team I have put in place and highlight the alignment that our insiders have with our shareholders. As many of you know, I have been with 4Front for almost a decade, largely in roles related to capital formation, investor relations, license acquisition and strategy. Last fall, I was asked by my partners to take on more operational responsibilities in my home State of Massachusetts as we've been looking to bolster in market leadership presence and streamline accountability and decision making. Having been directly involved in the formation of our Massachusetts operations, I was happy to accept that role. In less than six months, we've made significant strides in improving, expanding and innovating across all major revenue categories, from flower and pre-rolls to vapes and edibles. Our redoubled efforts to surprise and delight our customers with a superior retail experience and quality innovative products are beginning to yield significant results. With our continuous schedule of product launches and marketing initiatives we're confident that this positive momentum will persist through 2024, not only in Massachusetts, but also in Illinois and Washington. In the final days of 2023, our former CEO, Leo Gontmakher expressed to the Board his desire to step back from the day-to-day operations of the company. The Board then asked me to accept the position, which, after much thought, I accepted. Simultaneously with my acceptance, the Gontmakher family converted a large portion of their senior secured debt into equity, which had the effect of not only greatly reducing 4Front's debt load, but provided a great deal of confidence in the leadership and direction of the company, in what is essentially an all-in bet from the family, one of 4Front's biggest shareholders. As I stepped into the role of CEO, my decision to accept this position stems from my unwavering belief in the exceptional quality of our team and the strategic direction of our business. My commitment is anchored in a straightforward yet powerful goal to prioritize our customers at every turn, ensuring their needs and expectations not only guide our decisions, but also inspire our innovations. My vision also extends to maximizing value for our shareholders, recognizing that their trust and investment empower us to pursue innovative growth strategies and achieve sustainable profitability. Looking ahead, I am energized to lead our team as we navigate market challenges and seize growth opportunities, and I'm very confident that we have the assets and expertise to meet the ambitious targets we've set. With that, I will now pass the call over to Brandon to discuss trends and our performance in our key markets.
Brandon Mills: Thanks, Andrew. I'll now begin with a breakdown of our performance state-by-state. First up, Massachusetts. From the beginning of 2021 to the end of 2022, flower prices in Massachusetts declined by over 50%. However, 2023 was a period of significant stabilization with minimal month-on-month variance, especially noticeable in Q4. Despite that positive trend at the macro level, 4Front faced a number of internal headwinds within our Massachusetts cultivation operations, stemming from some legacy infrastructure and general resource and budget constraints.
Holliston: These actions have fundamentally and positively transformed our local operations en mass, directly addressing the root cause of our earlier challenges. The outcome of these efforts are already becoming evident from the successful launch of the Hunt brand to record level consistency and material improvements in quality and yield across our facilities alongside the introduction of new product lines in the first quarter of 2024. Shifting to retail and wholesale in Massachusetts, mid-year internal constraints related to budget and resources temporarily impacted our ability to offer the product assortment, customer experience and loyalty incentives we had traditionally provided. With recent budgetary support for third party brands and products, along with revamped loyalty programs, we are now introducing new and exciting products and delivering the diverse shopping experience Mission customers have come to expect. A positive byproduct of this effort is that as we shift toward less dependence on first party inventory, we're now able to expand our growth opportunities with third party retailers in Massachusetts and believe we have a significant and largely untapped upside potential in that channel, especially given the quality of flower we are now consistently producing and the exciting roadmap of new products and categories ahead. I'll now dive a bit deeper into retail. Our Mission retail revenue in Massachusetts witnessed a slight contraction from 2022 to 2023, in line with broader market dynamics and more specifically reflecting the intense competition faced by our Brookline location. The opening of a new competitor store less than 100 feet away in Q4 underscored the fiercely competitive retail environment. As we look ahead and following adjustments made through the end of last year and into Q1, including the introduction of the new Mission cannabis brand in Massachusetts and the elimination of the tiered menu in pricing, we're experiencing a notable positive trend across various metrics from March compared to January and February. The month-over-month comparison reveals several encouraging developments, including a net sales increase of over 6%. Transactions, average ticket size and new customer sales all rose in the low to mid-single digits through Q1 2024, demonstrating a support level and a positive trend line we expect to carry into Q2 and beyond. As we look further ahead and anticipate regulatory evolution in Massachusetts, we also stand ready to expand our retail footprint should the state lift its current cap on store numbers, leveraging our existing cultivation and manufacturing infrastructure to support this potentially material growth opportunity with minimal additional CapEx. Shifting gears to our wholesale performance in Massachusetts analogous in many ways to the dynamics in Illinois, which I'll come to later, we saw an impressive 42% year-over-year growth. As we reduced our reliance on first party inventory in our Mission retail stores from a historical high of over 90% down to our target of 40% to 50%, and take our new high quality flower and other products out to the wholesale channel, we anticipate a healthy shift in our revenue mix in the state and a 2x to 3x wholesale growth opportunity with minimal impact on working capital. Our product launch pipeline in Massachusetts is designed to cater to a wide range of consumer preferences. Flower enthusiasts can look forward to monthly releases of new strains from the Hunt available in both 3.5 grams jars and 1 gram pre-rolls with future releases already planned. June will see the debut of Smoke Breaks, offering a 0.35 gram five-pack tin ideal for use on the go. Additionally, the Marmas lineup is expanding with the May launch of the Marmas Bar, a fruit flavored disposable vape and the Marmas Celebration Collection variety pack. Starting in May, our Marmas edibles will also feature minor cannabinoid SKUs, broadening the options available to our consumers. In summary, despite local and temporary challenges through the middle of 2023, we are excited about our new plan and direction in the state under Andrew's leadership, and we see a clear opportunity for both growth and diversification ahead. We remain committed to our efforts to being one of the top quality flower producers in the state, to optimizing our first and third party product mix and strain availability at Mission retail stores, to deliver the experience our customers deserve and love, and to focusing on innovating in large and high growth product categories such as pre-rolls, infused products, edibles and vapes to drive wholesale growth. We are committed to winning in Massachusetts and believe we have the team, strategy and capabilities in the state to compete for market share with anyone. Turning the focus to Illinois, it's clear that this market stands as the primary engine for our growth given its large addressable market, relatively limited license framework and the significant competitive advantage we have with our Matteson facility and expanding retail footprint. Throughout 2023, we were supply constrained in Illinois, which both limited our ability to fully meet the demand for our high quality flower and pre-rolls in our wholesale channel and created a larger than desired working capital draw to maintain the quantity and diversity of third party inventory levels we needed at Mission retail stores. Despite these challenges, our initiative to launch vape products through a toll processing partnership ahead of our Matteson facility becoming operational has paid dividends and the impending production scale-up at Matteson is set to eliminate our capacity constraints enabling rapid growth in our wholesale channel. In 2023, our retail footprint in Illinois remained static at two locations, South Chicago and Calumet City. Overall retail sales saw pressure in line with overall price compression observed during the period, attributable to a combination of competitive pressures from new market entrants, our internal challenges from budget and resource cuts mid-year that impacted our product assortment and loyalty programs, and the overall micro pricing pressure. Specifically the price of flower experienced a 12.5% decline year-over-year in the state, while derivative products like vape and edibles saw prices decrease by approximately 15%. However, towards the end of Q4 and into 2024, we've observed a slowing and stabilization of these price declines across all categories, with a notable month-over-month increase in December and February compared to previous months. Our wholesale channel has experienced exceptional growth, showcasing a 75% increase in revenue through 2023. This progress was driven by strong vape sales and significant improvements in the quality and availability of our flower products, including the launch of the island brand. As we've mentioned before, it all starts with flower and as our quality climbed last year and we were able to do so consistently month-after-month, especially through the back half of the year, the results have trickled down into each derivative category beneath it, driving growth of the whole product portfolio. As Andrew mentioned, we are happy to share that our progress in bringing our flagship Matteson facility online is going according to our previously communicated timeline and budget. There are a number of significant improvements that will be available out of the gate in Matteson that give us a high degree of confidence that we cannot only 4x to 5x our output in terms of biomass and end products produced, but can improve upon the already impressive flower quality we're now achieving out of Elk Grove. Key improvements include essential infrastructure enhancements like waterproof walls and advanced drainage and irrigation systems, which will collectively reduce the risk of mold and other airborne contaminants. Furthermore, cutting edge features like adjustable LED lighting across all rooms, automated fertigation systems, humidity controls, and CO2 systems alongside enhanced HVAC capabilities, none of which we've historically had in Elk Grove, provide us with an unparalleled ability to finely tune our growing environment. These upgrades will yield considerable benefits, including healthier and more diverse plants, improved yields, and consistently high quality manufactured products produced at scale. We are also thrilled to return to innovation in Illinois, led by our dedicated product development and R&D departments shared by our teams in Washington and Massachusetts. Our upcoming product launches promise to significantly broaden our offering with a variety of targeted brands and products, which will help appeal to a broad, addressable consumer market. As an example, in May we're introducing the Marmas Bar, a fruit flavored disposable vape product suite alongside our lineup of 1988 Premium 1 gram glass tip blunts available in both infused and un-infused options. Additionally, in June, we're set to release our new product, Smoke Breaks. Finally, consumers can anticipate new strains in the Mission cannabis line and a second drop of Marmas's bar flavors slated for a summer launch. We are on a clear path to expanding our retail presence in the Illinois market with the stated goal of operating 10 stores in 2025. This will be transformational for 4Front, as the weighted average value of one pound of flower to our business is nearly $4,000 per pound when sold through retail versus $2,500 per pound when sold through our wholesale channel across all products. There's also a measurable benefit to our cash conversion cycle, allowing us to fund growth more quickly. The upcoming openings of our Norridge location in May and Elston/Logan location this fall are demonstrating our competency in quickly and efficiently standing up retail nodes in Illinois. In addition to a robust pipeline of great locations, we have the operational resources, including expertise in architecture and design, construction and project management, and the license acquisition framework and process dialed in, which allows us to complete our latest project in under nine months at nearly half the cost of our average previous retail project. The only factor now bottlenecking our rapid retail expansion is capital. As we prepare for retail expansion and the revenue multiplier that comes with it as I mentioned, we remain excited about our wholesale growth opportunity and plan to dynamically scale our cultivation capacity at Matteson in lockstep with the demand we see through both channels. In conclusion, we could not be more bullish on our prospects in Illinois. Our platform in terms of our team, cultivation, manufacturing, distribution and retail is currently stable in the state, ready to be scaled into the growth opportunity ahead. We have a defined and measurable plan to more than double our retail footprint in 2024 and 4x to 5 x our cultivation and manufacturing capacities in our move from Elk Grove to Matteson. The Matteson facility itself will become the single biggest competitive advantage we possess in Illinois, and we are confident that our experiences, both positive and negative, in Washington and Massachusetts over a significant operating history make us uniquely qualified to capitalize on a facility and capability of its magnitude. Frankly, we're chopping at the bit to demonstrate what we're truly capable of and to compete for material market share along with our much larger peers in the state of Illinois. Turning our attention to Washington, where our tenants and IP licensees maintained a notable 80% retail penetration rate throughout 2023 and into 2024. This steadfast market dominance is complemented by a significant growth in flower sales, showcasing a consistent upward trajectory from $1.6 million in Q1 to an impressive $3 million by Q4 of 2023, which represents a 19% increase from the previous quarter. As much as the experience in Washington has played a pivotal role in shaping successful operations in Massachusetts and Illinois, incorporating state-of-the-art cultivation practices from our Massachusetts operations has also been a game changer for the Washington team. Advanced techniques such as dry trimming, the use of rockwool, and automated and precise irrigation and fertigation systems, and the implementation of cutting edge LED lighting have been introduced, significantly boosting both yield and product quality. This approach, coupled with the standardization of operating procedures, has not only enhanced the quality and consistency of flower, but has also optimized our pricing strategy, thereby increasing revenue per gram sold. 2024 marks an exciting phase for the product lineup in Washington, with innovative offerings designed to meet evolving consumer preferences in this mature market. In February, Ezpuff disposable vapes were introduced, followed by the debut of Marmas Bar disposable vapes in March. Ezpuff is expanding its lineup with the introduction of flower and pre-rolls. Ezpuff joints have already launched at the start of this month, and Ezapes [ph] quarters, halves, and ounces are set to debut at the end of the month. These launches are part of a broader initiative to expand the product range, including the addition of rosin SKUs, specialized edibles with unique cannabinoid profiles such as merrimints [ph], coco gems [ph], in Milk Chocolate and cosmic candy in flavors like huckleberry and elderberry. Each product is meticulously crafted to offer a distinct experience catering to the diverse taste of consumers. Moreover, the Marmas Bar will see new flavors like lychee, orange tsunami, Washington apple and mango sunrise, enriching the portfolio with a variety of tasty options. To recap, we have confidence in the ability to sustain and improve strong sales momentum and market share positions in Washington, supported by a strategic and actionable plan equipped with all the necessary tools to execute and compete. This commitment involves introducing innovative new products, refining processes to elevate product quality, and maintaining agility to quickly adapt to evolving consumer preferences and needs. With that, I'll now turn the call over to Peter to provide an overview of our financial results.
Peter Kampian: Thank you, Brandon. In the fourth quarter, 4Front reported revenue of $21 million compared to $26.7 million in the corresponding quarter of the previous year. The full year revenue totaled $97.4 million against $107.6 million in the previous year. If we include Washington revenue, it would add another $30 million, increasing total revenue from product sales to $116.9 million. The financial performance for the year reflects certain market driven challenges. In Massachusetts, revenue of $44.1 million for the year was 7.4% lower than the prior year due to decreased flower yields and a decline in pricing. Quarterly revenue was $9.3 million. Illinois experienced a 7.1% decline in revenue to $37.7 million for the full year, $8.7 million for the fourth quarter, primarily due to prevailing price compression in the market. Regarding the balance sheet, as of December 31, 2023, the company had $3.4 million in cash, cash equivalents and restricted cash. The total debt principal amount as of yearend was $84.2 million, with future debt maturities totaling $58.5 million, excluding certain contingent liabilities. Following the year end, we converted $23 million of senior debt to equity and improved our debt profile and balance sheet. To wrap up, we are excited to turn the page from 2023, a year largely devoted to optimizing our portfolio, focusing on the assets and market that will drive future growth and profitability, and eliminating the inefficiencies that have been holding us back. 2024 would be a pivotal and positive year ahead for 4Front. Our balance sheet is cleaner, our operational machine is stable and the growth engine in Illinois retail and Matteson will be transformational for our future financial performance. I will now return the call to the operator to open the lines for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Pablo Zuanic from Zuanic & Associates. Please go ahead.
Pablo Zuanic: Thank you. Good afternoon.
Andrew Thut: Hi how are you?
Pablo Zuanic: Brandon, can I just follow up on a comment you made there in terms of the Matteson facility? I know the capacity expansion is about five times, but in terms of cadence, when do you start having the output to turn into revenue? I don't even quantify third quarter, fourth quarter, 2025, just to try to model that. Thank you.
Brandon Mills: Thanks, Pablo. Yes, so the plants will be going into the facility in May, so they have to go through a flower cycle, harvest, a dry cure and a trim. So it's going to be Q3 when we start to see that capacity actually increase from where it's at today.
Pablo Zuanic: Right, but do you see the pipeline…?
Brandon Mills: It will be accretive in 2024.
Pablo Zuanic: Right, got it. But by the third quarter, once you have that, those plants coming through, can we really count on the five times, or is it more of a slowly phased thing, two times in the second half and five times by early 2025?
Brandon Mills: Correct, by early 2025, it's going to come online kind of one room at a time according to a schedule, as fast as we can safely bring it online. So I think it's staggered and when the final room comes online, but it will start in May.
Pablo Zuanic: Right. And then just following up on Illinois, some companies speak about this publicly, others don't, but do you have a sense of how much capacity is coming into the market in Illinois over the next 12 to 18 months?
Brandon Mills: I don't have a crystal ball. I don't have any firm numbers that I've heard.
Andrew Thut: Brian, are you on the line? Do you have a more precise number on when every room is online in Matteson?
Pablo Zuanic: No, I don't. I'm sorry, I didn't mean the Matteson facility. I was meaning more about the market in general, that was the question, yes. Sorry if I was not clear.
Brian Ehmke: Yes, sorry Pablo I didn’t mean to differ on that. I don't have any crystal ball on what's coming online. I don't know if anyone else on the 4Front team wants to comment on that.
Andrew Thut: Yes, the only thing that I would say is, given how tight capital has been, across the board for really almost three years, we don't anticipate a ton more. I think we're the biggest capacity coming online in that state. The rest of the capacity is kind of 5000 square foot Craft growth and those are, the money raising environment has been pretty tough for everyone, but particularly smaller operators. Thanks to, DC. So I'm not anticipating huge amounts of capacity coming online, really, really in any state.
Pablo Zuanic: Understood. And then just moving on in terms of your experience in Massachusetts, and I realize it's been a very competitive market, but like you explained, you have a very good quality product there and you've made improvements in the cultivation facility. Can you share some metrics? I don't know from BDS or other market share metrics, how well your brands have done over the years in that market? And I understand it's been choppy because of a competitive environment, but just trying to get a sense of how well your brands do at some point there in that market?
Andrew Thut: Well, Pablo, we've had historically, so one of the things that's been going on in Massachusetts is, as Brandon mentioned, we had our Brookline store, which has seen a lot of competition coming online and so that hurt us in Massachusetts. And then one of the things that we did to watch our costs in the middle part of the year was we had as much as 90% to 95% of our own product in the store. So you would have gotten away with that three, four years ago. In today's environment, the customer wants to come in and they want to see great product at a great price, but they also want to see variety. That was something that was lagging as we moved into the second half of last year that we have corrected. So the answer to your question is, we have had successes on wholesale, but were really the rubbers just meeting the road. And so I look at this month is returning to what we think is going to be a huge year for wholesale in Massachusetts. And so, we really haven't concentrated very hard on getting our brands out into third parties because we were consuming them all in our stores. So hope to have a lot of positive things to say about this as the year goes on, as we raise capacity to meet wholesale demand and we're aggressively pursuing it.
Pablo Zuanic: Understood. Thank you. And one last one regarding the balance sheet, obviously you converted those $23 million that you talked about. Are you all happy right now where the balance sheet is, or is there still room to convert some of the debt? Even if they convert is still outstanding? Thank you.
Peter Kampian: We are happier than we were with the balance sheet than we were four months ago. Having the GAAP makers convert their portion of the allied debt was a huge deal, not only in terms of the debt load, but in terms of the interest payment and the confidence that implied by the family for the go forward of the business. They went from a senior secured position to common equity holders, which as a shareholder, as a fellow shareholder, I took a lot of confidence in as well. We are from an operating standpoint, we are more or less breakeven right now and as we have retail come online in, we have our third retail in Illinois come online in Norridge in the beginning of May coupled with Matteson coming online in May. We are very sanguine about the opportunities for us to be an even bigger cash flow producer. Having said that, the markets are still very tight, as you know, and if we could get something federally in motion, I think that has an opportunity to change. We are not running the business expecting that. So currently we've got the $3.5 million of cash. We have not drawn down the $10 million facility from Altmore and so we are comfortable with where we're sitting and we're generating cash operationally. But as Brandon alluded to, if we want to get to our 10 stores open in Illinois, ultimately, we need the funding to loosen up a little bit. But in terms of being a self-sustaining business, we feel pretty good about where we sit today.
Pablo Zuanic: Got it. Thank you very much. Thank you.
Andrew Thut: Thank you.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of Yewon Kang from Canaccord Genuity. Please go ahead.
Yewon Kang: Hi there. Good evening. How are you? This is Yewon Kang for Matt Bottomley.
Andrew Thut: I'm doing well. How are you?
Yewon Kang: Doing well, thanks.
Andrew Thut: Excellent.
Yewon Kang: So, I just wanted to ask a question about the Illinois expansion strategy. I think part of the opening remarks you mentioned that there's been a wholesale demand on cannabis derivative products in that market. And so I was wondering if you would be able to provide some insight on how these conversations have been going so far and if there are already any kind of supply agreements in place for when the manufacturing part comes online in May?
Andrew Thut: I'll turn it over to Brandon and Brian to answer that.
Brandon Mills: Yes, no problem. So, as we get the lab online, I think first priorities first is to shift our own supply to be running through our own lab so that we're producing all derivative products in-house. The result of that will be more control over the supply chain and then an improvement in margin because we're not paying a third party to do the tolling for us. Once we have that online and stable and have a good feel for what our excess capacity looks like, we can start to engage in some of those more formalized supply contracts. Right now, we have a number of discussions underway, but nothing contracted. Having been on the other side of it when we were looking for a toll processing partner to help to either purchase derivative products from or enter into a toll processing relationship, they were few and far between in the State of Illinois. There just wasn't much capacity online and that's why we're excited about the opportunity, but that's also why we're sort of in the first wave of folks that will be offering these services, so it's kind of a new world, and we're in the top of the first.
Yewon Kang: Got it. Thank you. And just on the topic of [indiscernible] taxes, recently during the Q4 earnings season, one of your peers commented that they've gotten retroactive [indiscernible] tax refunds and so I was wondering if, how you guys have taken this news and if you guys are working on anything currently to be a part of the group that ultimately asked for the refund from the IRS. Thanks.
Andrew Thut: Yes, I'll let Karl deal with that question. Thank you.
Karl Chowscano: Hey, Yewon. Yes we clearly are aware of the trend, and I don't want to say that we were suggesting that this should be the case about a year and a half ago almost, but we were. We will be actively pursuing all of our options in terms of the most efficient way for us to file taxes as well as to get any refunds, both from the state and federal perspective that we can. The constitutionality of 280E [ph] may be but one of those avenues, but we are fully aware of the direction of the industry and we support it. Did that kind of answer your question?
Yewon Kang: Yes. Thank you. I'll jump back into the queue.
Karl Chowscano: Great.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I will now hand the call back to Mr. Andrew Thut for closing remarks.
Andrew Thut: Well, I very much look forward to turning the page on what was a pretty challenging 2023 into what is shaping up to be a pretty exciting 2024 with very discernible, identifiable growth bogeys on the horizon. So I appreciate everyone's interest in 4Front and I look forward to updating people as we move throughout what I see as a very encouraging year. So thanks for your time, and we'll talk to you in a little bit when we announce Q1. Thanks again, bye.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may all disconnect.